Operator: Good morning, and welcome to the Boston Private Financial Holdings’ Fourth Quarter 2019 Earnings Conference Call and Webcast. [Operator Instructions] Please note this event is being recorded.I'd now like to turn the conference over to Mr. Adam Bromley, Director of Investor Relations. Mr. Bromley please go ahead.
Adam Bromley: Thank you, Keith, and good morning, everyone. This is Adam Bromley, Director of Investor Relations of Boston Private Financial Holdings. We welcome you to this conference call to discuss our fourth quarter and full year 2019 financial results.Our call this morning includes references to an earnings presentation which can be found in the Investor Relations section of our website, bostonprivate.com.Joining me this morning are Anthony DeChellis, Chief Executive Officer; Steve Gaven, Chief Financial Officer; and Paul Simons, President of Private Banking, Wealth and Trust.This call contains forward-looking statements regarding strategic objectives and expectations for future results of operations and financial prospects. They are based upon the current beliefs and expectations of Boston Private's management and are subject to certain risks and uncertainties. Actual results may differ from those set forth in the forward-looking statements. I refer you also to the forward-looking statements qualifier contained in our earnings release, which identify the number of factors that could cause material differences between actual and anticipated results or other expectations expressed.Additional factors that could cause Boston Private's results to differ materially from those described in the forward-looking statements can be found in the company's filings submitted to the SEC. All subsequent written and oral forward-looking statements attributable to Boston Private or any person acting on our behalf are expressly qualified by these cautionary statements. Boston Private does not undertake any obligation to update any forward-looking statements to reflect circumstances or events that occur after the forward-looking statements are made.With that, I will now turn it over to Anthony DeChellis.
Anthony DeChellis: Thanks Adam. Good morning everyone. And thank you for joining the call. On today's call I will begin by updating you on our progress against strategic initiatives. Steve Gavin will then lead a review of our financial information and we will close by taking your questions.As we shared in our Investor Day in May of 2019, we are focused on building a private banking and wealth management firm with a differentiated return profile for shareholders. Much of our time in 2019 has been focused on positioning our business for ambitious growth. This has included reorganizing our management structure and refining our processes to improve our ability to effectively and efficiently deliver high value advice guidance to our clients, all of which we plan to have increasingly aided and empowered by technology.Here are a few updates on our progress during the fourth quarter. First, the leading indicator of our ability to achieve the targets we shared at our Investor Day remains our ability to attract high quality talent to Boston Private. We are pleased to share that our our net advisor count increased by four during the quarter and we added six new advisors and relationship managers during the quarter, primarily in New York and South Florida.We made key advancements to our technology platform when we rolled out a new digital banking platform in November. Our team worked hard throughout 2019 to deliver this key initiative, which represents a significant upgrade to our digital platform and client experience for banking clients. We also rolled out PrecisionLender in December and we are scheduled to roll out Encino in May. Improving our technology not only augments our high-touch client service, but also opens up new channels for growth, particularly with next-generation clients.As the banking technology upgrade nears completion, we have already begun to focus on the 2020 design and development of a dramatically upgraded wealth platform. We are currently finalizing vendor selection and outlining our vision for both advisors and client experiences before formally launching this project.We aspire to build a platform that empowers our clients to pursue solutions and desired outcomes in partnership with our highly skilled wealth management teams. We believe our envision platform will offer a client experience that will be appealing to both existing clients and to the next-generation of clients, who as we know, are increasingly consuming financial services away from traditional channels. We also expect that a more powerful tech-enabled platform will accelerate our advisor recruiting.In December we finalize the design of our new advisor compensation plan. The new plan is more formulaic and less discretionary. It better aligns the interests of our clients, advisors and shareholders as it rewards our advisers for growth, for delivering on our aspirational client experience and the overall success of the company. Also during the quarter we expanded our presence in South Florida by opening a new wealth management office in Miami, which we expect to be a meaningful part of our future growth.But we will get into more details on AUM flows later on this call, we are encouraged by a significant improvement in new business generation in our Wealth Management and Trust segment. Our team generated $407 million of new business during the quarter, the highest levels in 2019. And meaningful sign that our recruiting efforts and platform upgrades are beginning to have an impact. As Steve we'll detail later, overall net flows were slightly negative due in particular to a known terminating legacy trust and an unrelated departure of an advisor.Looking ahead, we anticipate that our primary avenue to grow our advisor population will be through organic hiring and recruiting. We will stay focused on a disciplined approach to hire high quality advisors who share our values. We will not sacrifice quality for quantity. There are obviously other means to grow ambitiously. And while we are open to acquisitions, the current valuations for RIAs makes inorganic growth but lower probability. We are committed to being prudent and responsible stewards of our shareholders capital. And frankly at the moment given a choice, I prefer to buy back our own stock, which you know we have done.With that, I will turn it over to Steve Gaven, who will walk us through fourth quarter 2019 results. Steve?
Steve Gaven: Thanks Anthony and good morning everyone. My comments will begin on Slide 3, where we show a summary of our consolidated financial highlights from the fourth quarter.This quarter we reported net income of $21.2 million or $0.26 cents per share. During the quarter we benefited from a $1.1 million gain related to the revaluation of a receivable we have from the divestiture of BOS, which we completed in December of 2018. Excluding the net after tax impact of this gain, we reported operating net income of $20.5 million or $0.25 per share.Total deposits averaged $7 billion for the quarter, a 1% increase year-over-year. While the year-over-year comparison shows 1% growth, we intentionally ran off broker deposits during the quarter and throughout 2019 resulting in average client deposits increasing 6% from the fourth quarter of 2018 to the fourth quarter of 2019.Total loans averaged $7.1 billion for the quarter a 4% increase year-over-year. We continued our efforts to prioritize on balance sheet liquidity to support future client acquisition as we sold approximately $100 million of residential mortgages and participated out approximately $100 million of commercial real estate loans starting in the fourth quarter.Total AUM as of December 31, 2019, was $16.8 billion, a 5% increase year-over-year, as positive market action offset negative net flows. Total net flows for the company were negative $209 million, $114 million of which was attributable to the Wealth Management & Trust segment and $95 million of which was attributable to our investment manager DGHM. As Anthony mentioned, we had very strong new business during the quarter, but outflows were negative due to a departed adviser in a large terminating trust.Tier 1 common equity ratio was 11.4%, while tangible book value per common share increased 10% year-over-year to $9.02. For the full year of 2019 we returned 59% of operating net income to shareholders through dividends and share repurchases. Slide 4, shows our consolidated income statement on a reported basis under GAAP. As you recall, we completed the divestiture of BOS in the fourth quarter of 2018. Financial results from BOS remained consolidated in fourth quarter of 2018 results through the closing of the divestiture, which primarily explains the year-over-year decrease in revenue and expenses.Fourth quarter 2018 results also include the net impact of a $13.8 million related to the impact of notable items in the divestiture of BOS. To enhance comparability and analyzing financial trends in the core business, the upcoming slides includes certain non-GAAP operating metrics that exclude the previously mentioned restructuring charge and contributions from BOS in the fourth quarter of 2018.A reconciliation of GAAP to non-GAAP metrics can be found on slide 15. Slide 5 shows a consolidated income statement, excluding notable items and BOS. Pretax, pre-provision income decreased 5% year-over-year, primarily driven by lower net interest income while the linked quarter decline was driven by higher non-interest expense. Net income increased 2% linked quarter and 5% year-over-year, primarily driven by a provision credit during the fourth quarter of 2019.Slide 6 shows consolidated revenue trends. Net interest income was flat linked quarter as lower funding costs and borrowing volumes offset lower loan yields. The Wealth Management & Trust fees decline was primarily driven by lower trust fees, while core wealth management fees in the legacy Boston Private Wealth business increased 1%. Excluding the impact of BOS and notable items, total operating revenue during the fourth quarter was $81.8 million up 1% linked quarter.On slide 7, we show a detailed breakout of our consolidated expenses on a GAAP basis. Total non-interest expense declined on a year-over-year basis primarily as a result of restructuring expense and BOS results that are included in the fourth quarter 2018 results.Slide 8 shows a detailed breakout of consolidated expenses, excluding notable items in BOS results in the fourth quarter of 2018. Total non-interest expense decreased 1% year-over-year while increasing 5% linked quarter. The linked quarter comparison reflects higher salaries and employee benefits expense, which includes higher incentive compensation. As we previously mentioned, some of our key technology initiatives came into service this quarter, which caused information systems expense to increase linked quarter and professional services expense to decline linked quarter due to the conclusion of technology consulting engagements.Slide 9 shows the past five quarters of average loan balances and average deposit balances by type. Total average loans during the quarter increased 4% year-over-year to $7.1 billion. As previously mentioned, residential balances were impacted by $100 million loan sale during the fourth quarter, while commercial real estate balances were impacted by $100 million of participations out.The increase in C&I lending was driven by higher client borrowing activity on revolving lines of credit. Total average deposits during the quarter increased 1% year-over-year and 5% linked quarter to $7 billion. The linked quarter increase was primarily attributable to seasonality inherent in our client base, partially offset by continued intentional runoff of broker deposits.Client activity was especially strong at the end of the quarter, as end of period balances were 7.2 billion, which is approximately 280 million higher than average balances. While this activity helped drive the end of period loan to deposit ratio to 96%, we anticipate the fourth quarter average is more representative of where we will be during the fourth quarter – first quarter of 2020.Slide 10 shows a five-quarter trend of consolidated net interest income and net interest margin. Core net interest income which excludes interest recovered on previous nonaccrual loans with flat linked quarter as lower funding costs and lower borrowing volumes were partially offset by lower loan yields. On the bottom of the slide, we show a net interest margin table including changes in interest earning asset yields and funding costs. The core net interest margin decreased 1 basis point linked quarter to 2.7% during the fourth quarter of 2019.The rate of decline decelerated as benefits from the fed cut in September, flow through to our funding base and deposit inflows enabled the repayment of higher cost borrowings. The total cost of funds decreased 13 basis points linked quarter from 112 basis points to 99 basis points.Slide 11 provides detail on our asset quality. This quarter we booked a provision credit of approximately 3.7 million which was primarily driven by a decrease in criticized and classified loans and a decrease in loss factors. The chart below shows asset quality metrics during the quarter. Overall criticized loans declined 10% in the quarter to 126 million. ALLL as a percent of total loans was 103 basis points.With respect to the upcoming CECL implementation, we have completed our model development and we are in the process of finalizing model validation. Based on current economic factors, portfolio mix and loan balances, among other factors, we anticipate a reserve release that will ultimately lead to a slight increase in capital levels. We will provide more details on the specific impact in our form 10-K filing.On slide 12, we show the Private Banking segment excluding the Wealth Management & Trust portion of the bank. The private bank efficiency ratio increased from 63% to 66% linked quarter, driven primarily by higher compensation in technology expense. I will now turn it back to Anthony to discuss our Wealth Management & Trust segment.
Anthony DeChellis: Thanks Steve. Slide 13 shows performance highlights for the Wealth Management & Trust segment which includes financial results from Boston Private Wealth and KLS Professional Advisors, as well as the trust operations of Boston Private Bank & Trust Company.Segment EBITDA margin for the quarter was 28% reflecting increased hiring at Boston Private Wealth and KLS. As Steve mentioned, consolidated AUM was $16.8 billion of which $15.2 billion was in the Wealth Management & Trust segment. An increase of 4% linked quarter and 7% year-over-year. Net flows for the quarter of 2019 were negative 114 million as outflows were related to a departing advisor in a large terminating trust, partially offset by a $407 million of new business.That concludes our prepared comments on our fourth quarter 2019 reported results. I will now open up the line for your questions.
Operator: [Operator Instructions] And the first question comes from Chris McGratty with KBW.
Chris McGratty: Hey, good morning everybody.
Anthony DeChellis: Good morning, Chris.
Steve Gaven: Good morning, Chris.
Chris McGratty: Steven or Anthony, I'm interested in kind of the progress that you're making on the hirings and how it – how we should be thinking about the pace of expense growth as 2020 unfolds, I think you said in the past, you need to get the technology upgraded, and then you'll start the hiring efforts. I'm just wondering how we should think about the ramp in expenses? Thanks.
Anthony DeChellis: Well, I mean, on technology, we don't expect it to be any different than what we've projected. As you know, the hiring is dependent on – it's not going to be a set number every quarter. It depends on not only who we can attract, but who we accept. I would expect that we would – we hired six in the fourth quarter. I would expect that to be at least what we hire each quarter. Paul Simon is here. Paul, I don't know if you'd add anything on what you expect on a quarter-to-quarter basis. Is it six or somewhere thereabout?
Paul Simons: No, I think that's the right number directionally. But as Anthony said, we'll be both opportunistic and selective.
Steve Gaven: And Chris, this is Steve. Just for modeling purposes, I would think about operating expense in the first quarter in kind of the $60 million to $61 million range, obviously, you have some seasonal payroll impact in the comp and benefits line that usually runs $2 million, $2.5 million. And then beyond that, to Anthony's point, expense progression will largely depend on kind of pace of hiring. So that's the way I would start to think about throughout the year, but that's where kind of first quarter should shake out.
Chris McGratty: And maybe, just following that up, Steve, if we think about the hiring, and that will obviously bring revenues with it, what's the right way to think about either operating efficiency or operating leverage as kind of the year unfolds? I assume the there will be…
Steve Gaven: Yes, I mean, I think – I think you should expect…
Chris McGratty: Expenses come first, revenues come later?
Steve Gaven: Yes, exactly. I think you should expect to see that model kind of weigh on operating leverage early on because you're on-boarding the talent and then there's a lag between the time they start and when AUM transfers and then revenue starts to build. So it's likely that we'll see some operating leverage pressure in the first part of the year.
Chris McGratty: Okay, great. And then maybe on the growth front, I think you said you participated out of 100 of commercial real estate. What was the loan sale on the resi side?
Steve Gaven: That was also about $100 million. And what we did there, Chris, was really – I think if you go back to our second quarter, we talked about working loan deposit ratio down to 100% by the end of the year. And we went through the loan book and tried to isolate pockets of the portfolio, where we didn't have deep relationships with those clients. But it was very salable or easy paper to participate out because of credit quality. So we're able to create capacity, improve on balance sheet liquidity. And now we're in a much better place to onboard more strategic clients as we roll out the new strategy.
Chris McGratty: Okay. So less loan sales and maybe strong – a little bit stronger than net loan growth? Is that the way to think about it?
Steve Gaven: Yes. I mean, if you think about – if you look at just kind of the development of the loan book into the fourth quarter, we actually had really strong originations. They were north of $400 million. I think that was the strongest origination quarter in the year. So it's not an issue of generating loan growth.Really, what you saw in the fourth quarter was some balance sheet management tactics. And quite frankly, freeing up capacity as we roll out the new strategy, particularly in the family office segment.
Chris McGratty: Okay. Thanks, Steve.
Operator: Thank you. And the next question comes from Alex Twerdahl with Piper Sandler.
Alex Twerdahl: Hey, good morning guys.
Anthony DeChellis: Good morning, Alex.
Alex Twerdahl: I just first off, I wanted to try to get a better sense for how we should be thinking about the trajectory of the AUM as 2020 progresses? And I appreciate your commentary on working on the design for the Envision platform. Do you – do you need that new platform to really come online before we can see a meaningful shift in the trajectory of AUM?
Anthony DeChellis: No. I think for – the way to think about it is for our traditional businesses at Boston Private Wealth & Trust and KLS there have already been some enhancements to the platform. The technology part is really to address the emerging trends we see in client expectations, but particularly for the next generation. So it's about improving the experience, both for our advisers and clients, but also beginning to open up some perhaps new channels for, particularly in an emerging client base that prefers just to consume financial services in a different way and, frankly, more directly and to empower that.So we still should be able to grow the way we've always grown, albeit with some better support. It's really about giving us increased optionality going forward.
Alex Twerdahl: Okay. I guess, kind of as we think about the modeling, obviously, AUM balances drives a big portion of your business, how should we be thinking about in our – when you guys are thinking about your modeling for 2020 and the goals that you put out last May to triple AUM, basically over three years, how far into that progress do you envision getting in 2020? Do you think AUM can really make a meaningful progression forward this year?
Anthony DeChellis: I would expect AUM to make a meaningful progression forward, particularly trending toward the end of the year. It's more sort of a pace that I think will be important by the fourth quarter of this year. When you onboard an adviser, it typically takes them about six months to sort of get seasoned in their seat, there is some immediate flow. But it's really an 18-month process for them to kind of move their business and get acclimated to a new firm and a new platform.When we originally put out those, and I think I might have mentioned on our previous call. When we put out the goals, there was an organic component of the existing client base we had, and we thought we could do more with them, better connecting our private bank with our clients on the commercial banking side, who, as you know, a lot of them tend to be family enterprises.There was that element, which we thought would take us to $23 billion to $25 billion. And then we thought, given the then prices of some of the RIAs, we thought there'd be $5 billion to $10 billion of possible acquisition opportunity and then the remaining $15 billion, we would hire over that four-year period and grow. That was sort of how we broke it down and thought about it. And I think what’s still in place is certainly the synergies in our existing client base and working more closely with clients across businesses and the opportunity to hire.It’s really our choice to have backed away from some of the pricing or the valuation requirements of that $10 billion, we thought we could acquire. And so we’ll see if that environment changes in the meantime. That’s why I remark that we would mainly grow organically. Hiring individual advisers or teams when they fit our profile.
Alex Twerdahl: Okay. So it’s sort of slow progression early in the year, later in the year, we should see the pace to be more representative of what it could be potentially in 2021 and 2022?
Anthony DeChellis: Yes, I think you should see it steadily improve. We were pleased to see that, again, a lot of these folks are really new to the firm, and new clients of $407 million flowing in through these folks, there’ll be more of them each quarter. And though we’ll have more and more seasoned people. So I would expect it to be an accelerating and improving trend.
Alex Twerdahl: Okay, great. And then just, Steve, one question on the margin, kind of given the current outlook for rates and what’s happened with funding costs during the quarter and loans, et cetera, do you think there’s more room to come down on funding costs in the near-term and potentially that the margins could have bottomed there in the fourth quarter?
Steve Gaven: Yes. So Alex, if you think about interest-bearing deposit costs, $120 million in fourth quarter that could get down to $106 million $108 million range. In terms of NIM, I think, you’re in the kind of the low to mid two sevens into the first quarter. And depending how the rate environment plays out, you could see some more improvement in the back half of the year. But it does feel like, given what we know today that two seven is the kind of the bottom of where we’d expect rates to be again, based on what we see in the rate environment today.
Alex Twerdahl: Great, I really appreciate all the color guys. Thank you.
Operator: Thank you. [Operator Instructions] And the next question comes from Michael Young with SunTrust.
Michael Young: Thanks. Good morning. Anthony, I wanted to quickly follow-up on the RIA commentary. Obviously, if that – the pricing can shift at any time. But given where things stand currently? It sounds like we should lower our total AUM expectations for where we think we’ll get at the end of this process. But can you talk about any of the offsetting factors or other impacts that may have in terms of your overall profitability targets and/or your ability to buy back more stock? I think you mentioned that as an alternative, since you might not pursue that strategy. Can you just talk about kind of how that will affect everything overall?
Anthony DeChellis: Sure. I think what I – my comment was is that given a choice between buying an overpriced RIA and our own stock, I would pick our own stock. As far as how we use our capital, we’re really not changing what we’ve said in the past. We still want to use it for growth. It’s just how we spend that money or how we spend that capital. Initially, we anticipated it might include the acquisition of an RIA, we are leaning more toward the acquisition of talent and possibly buying back more of our stock. But we haven’t changed any prior stock buyback plans that we put in place last year.So for the moment, that remains constant. I’m sorry, what was the other part of your question?
Michael Young: Does that reduce kind of the overall profitability target, if you’re able to scale maybe less quickly or end up at a lower kind of AUM balance at the end of this targeted kind of growth range?
Anthony DeChellis: Well, I mean, the balance, if you can hire really good advisers and they can onboard quickly. That’s usually, it’s just a lot harder. It takes a little bit more time, a lot more work, frankly, than buying a group of high-quality advisers, where there also tends to be more certainty in moving that business to the firm, it’s just more expensive. So we actually – it should be a better. I’ve done this many times in my career. Hiring advisers one at a time is much more difficult. But in the end, it should produce much better value creation for shareholders. It’s just a longer process.So the way I would think about it is – I broke down for you where we saw the components of AUM coming from the part, and things can change, as you said, the piece of it that – of getting the $50 billion, $10 billion of it, we thought we would acquire, will lean more towards – still aiming towards that goal, if possible, it’s just leaning more toward adviser hiring as opposed to buying those RIAs.
Michael Young: Okay. And maybe, Steve, just as a quick follow-up on the deposit growth this quarter, can you just kind of provide a little more detail on that? How much of that do you expect to stick around? And just any other color on how that transpired?
Steve Gaven: Yes, sure. It was a lot of client activity really in the last two weeks of the quarter, so about $400 million of deposits, really associated with liquidity events within those clients businesses. Some of that will stay, some of that will go. As we commented earlier, the 96% end-of-period LD ratios probably overstated in terms of being lower than core, of course, probably closer to 100%.So I think there’s just some adjustment that happens in that late quarter activity that happened as we get into the first quarter and into the second quarter of 2020.
Michael Young: Okay. And similar question just on AUM, do you have any visibility for any other kind of larger outflows or exits as we move into the first part of 2020?
Anthony DeChellis: Paul, why don’t I have you comment on that?
Paul Simons: No, we don’t have – there’s no immediate visibility into significant outflows from the Wealth business in the first quarter.
Michael Young: Okay, thanks. That’s all from me.
Operator: Thank you. And this concludes our question-and-answer session. I would like to turn the conference back over to Mr. Anthony DeChellis, Chief Executive Officer for any closing remarks.
Anthony DeChellis: Thank you. And thanks everyone for joining us today. We appreciate you being on the call. Of course, we’re here for any follow-up. Other than that, I wish you all a great day. And thank you again.
Operator: Thank you. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.